Operator: Ladies and gentlemen, thank you for standing by and welcome to the Motus GI Holdings, Inc. Second Quarter 2022 Financial and Operational Update. [Operator Instructions] I must advice you all that the conference today is being recorded. I would like to turn the call over to Garth Russell of LifeSci Advisors. Please go ahead, sir.
Garth Russell: Thank you, operator, and thank you, everyone, for joining us for the Motus GI second quarter 2022 update call today. Representing the company are Tim Moran, Chief Executive Officer; Andrew Taylor, Chief Financial Officer; and Mark Pomeranz, President and Chief Operating Officer of Motus GI. Before turning the call over to management for their opening remarks, I would like to take a minute to remind you that this conference call and webcast will contain certain forward-looking statements about the company. These statements are subject to risks and uncertainties that could cause actual results to differ. Please note that these forward-looking statements reflect our opinions only as of the date of this call. We will not undertake any obligation to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. Factors that could cause actual results or outcomes to differ materially from those expressed or implied by such forward-looking statements are discussed in greater detail in our most recent filings on Form 10-K and our periodic reports on Form 10-Q and 8-K filed with the SEC. I would now like to turn the call over to Tim Moran, CEO of Motus GI. Tim, the floor is yours.
Tim Moran: Thanks, Garth, and good afternoon, everyone. Thank you for joining our call today. I am pleased to share an update on our progress through the second quarter of 2022 as well as provide early insights to what we're seeing in the third quarter. Following my update, Andrew will provide an overview of our financial performance for the second quarter, and then we will open the call to take your questions. So let's get started. On our last call, I outlined the important milestones achieved over the past 2 years, which resulted in broader market awareness of Pure-Vu, enhanced sales strategies, stronger key opinion leader relationships and an initial foundation of established customers. We are proud of these accomplishments as they each played a role in getting us to an important inflection point in the second quarter. Our product offering, sales team and business outlook have each emerged stronger than ever, and we are seeing the most open access to health care centers in recent years. The core driver behind this inflection point was receiving FDA approval of the Pure-Vu EVS system late in Q1 2022, closely followed by its commercial launch. In June, we completed the first full quarter with the new system. And I am proud to say that the team is delivering on our plan, most notably in achieving the highest quarterly revenues in the company's history. It's important to understand the fundamental drivers that delivered these results. First, we're effectively placing the Pure-Vu EVS in a growing number of hospitals, which was one of the commitments I outlined on our March call shortly after receiving approval of the Pure-Vu EVS system. I projected that we expected to have Pure-VU EVS placed in approximately 12 sites in the near-term. I am pleased to report that through the end of the second quarter, we now have the system placed in approximately 18 U.S hospitals. When analyzing this number, I think it's worth noting that these 18 sites are comprised of a healthy blend between prior and new users, and the mix of academic, community, rural and VA hospitals. We believe this reflects not only satisfaction by our previous Pure-VU users, but also the expansion to new segments of the U.S hospital system. The trajectory of our long-term growth will be determined by how many procedures are performed utilizing our system at an individual site on a consistent basis. Therefore, we believe it's equally or even more important that we are seeing positive initial indicators around the utilization and not just system placements. Two key metrics we're tracking are procedures per month by facility, and the number of physician users. I am pleased to report that each of these metrics are moving in the right direction and being driven by activity at both new and existing hospital customers. Let me expand on one of these metrics a bit further. Expanding our base of physician users is important as it speaks to our ability to extend adoption beyond the initial physician champion we worked with during the evaluation period. One example from Q2, at a large community hospital in Dallas, we had eight different physicians utilizing Pure-Vu across their first 10 procedures. Additionally, this included both fellows and residents, which we believe highlights the simplicity we built in to the Pure-Vu EVS system. Looking ahead, our pipeline continues to grow with multiple new account evaluations targeted in the third quarter. One aspect of our commercial strategy, which I've referenced in the past, is the land and expand approach, or the targeting of hospitals within a health system following approval at the flagship center to use the Pure-Vu EVS. This plan is now taking shape as exemplified by the Memorial Hermann Health system, where last quarter after success in the main hospital, we initiated an evaluation in one of their largest satellite facilities. We've spent much of the past 2 years networking with, educating and training some of the top hospitals and physicians in the country, which we believe positions us well within many of their health systems to secure evaluations of the Pure-Vu EVS at network hospitals. While not a traditional hospital network, we have seen a strong interest within the Veteran Affairs Medical Centers with some compelling results in our initial evaluations. We believe the VA health system in the U.S., which consists of approximately 170 medical centers across the country, represents a high yield opportunity for adoption of the Pure-Vu EVS system. We are finding that these VA medical centers have a large backlog of colonoscopies, and if they can't see the patient within 28 days, the VA must pay another private hospital for services rendered. They also have a large catchment area, meaning patients are often travelling long distances to get to their nearest facility. Hence, cancelled colonoscopy are viewed very unfavorably. A good illustration of our procedural utilization tracking, and the real potential of these accounts is that we recently engaged with a VA in the Midwest, and they subsequently performed more than 30 Pure-Vu procedures during the second quarter alone. We are actively conducting evaluations at additional VA medical centers across the U.S., which we expect will result in new commercial agreements in the third and fourth quarters. While I've been giving a lot of credit to the Pure-Vu EVS system itself to this point, I want to call attention to our growing sales team. As you can see, we have quickly taken advantage of these additional resources. It was just a couple of quarters ago that we expanded the team to gain the critical mass required to close opportunities in our pipeline, which is more important than ever, as the administrative process in many of these hospitals is still slower than pre-COVID timeframes. Each of the new salespeople come with a proven track record of selling GI products at many of the world's largest medical device companies. While certain members of the team are still ramping up, we believe they are all making a positive impact in cultivating the right accounts for driving Pure-Vu into the market. We now have 10 commercial resources strategically positioned across the U.S. As some of you might have heard me mention previously, one of the goals of this expansion was to have every major region covered. Now that we have this presence, we are reaching hospitals that not have not had any previous interactions with our team, and conducting evaluations. These early successes are quickly proving to us that scaling up is a key to our long-term success. Now let's discuss our progress on other key upcoming catalysts. Let me first review our clinical study activity and outpatient reimbursement strategy. In May, during Digestive Disease Week 2022, we presented positive top line data from the European Outpatient Clinical study, which concluded that the Pure-Vu system provides adequate cleaning in patients with a history of poor bowel preparation. The data shows that the Pure-Vu system improve the adequate cleansing rate from 31.8% to 97.7%. In addition, the study found that the Pure-Vu system may prevent repeat colonoscopy and clinical admissions for intensified bowel preparation. As a reminder, this study evaluated the clinical outcomes in patients with a history of poor bowel preparation, using a low volume prep and limited diet restrictions with the Pure-Vu system. We believe this data may be beneficial in our pursuit of outpatient reimbursement. Turning to our plans for penetrating the large outpatient screening market. There are 18 million outpatient procedures conducted in the U.S each year. And currently, nearly one in four, or approximately 4.7 million of these patients struggle to get a high quality prep prior to their procedure. This can lead to delayed, aborted and repeat procedures, which puts a burden on the health care system and the patient, both from a clinical and economic perspective. A critical step in our process to enter this market is generating key clinical and economic data via a large multicenter outpatient clinical trial. Based on learnings from the EU study, and then working closely with a group of world class key opinion leaders, we've been diligently developing a detailed protocol for this study. I am pleased to announce today that the study is based on a consecutive series design that we believe will generate real world data using a tandem colonoscopy approach for patients that have poor visualization following a standard of care colonoscopy. The study will look at approximately 1,000 patients using an adaptive statistical plan with the primary endpoint designed to show a significant reduction in the number of aborted or poor quality exams that lead to an early repeat procedure as defined by the gastroenterology Tri-Society [ph] guidelines. According to the literature, early repeat exams happen between 10% and 20% of the time in outpatient colonoscopies and many patients don't come back as prescribed, which leaves them at a higher risk for an interval cancer, especially for patients at high risk for CRC. The study will be performed at a mix of academic and community hospitals as well as ambulatory surgery centers. We spec to initiate the study before the end of this year, and we'll keep you apprised of our progress. In terms of ongoing product innovation, as I have discussed on previous calls, we have initiated a project to add upper GI capabilities to the new Pure-Vu EVS platform, which we're calling the Pure-Vu EVS gastro device. We believe this device is on track to launch into the U.S market in the first half of 2023. The Pure-Vu EVS gastro will leverage the existing workstation infrastructure, which we believe may accelerate its penetration into the market. Some of the key enhancements in the EVS system, such as a much larger suction channel, more efficient irrigation jets, a smaller profile and improved flexibility will be further optimized to allow the system to provide broad utility in an upper GI procedure. I'm pleased to report that preclinical tests support these benefits, as well as the system's ability to help rapidly clear debris from the upper GI tract. In addition, KOL feedback has been very positive on the latest prototype devices. Finally, turning to potential strategic partnerships and collaborations. We continue to pursue various opportunities with strategic partners. Now that we've launched the Pure-Vu EVS into the market, and the product performance has been strong, we believe these opportunities may become actionable. Our focus in evaluating these opportunities is centered upon accelerate our commercial progress, and potentially strengthening our balance sheet. With that, I will now turn the call over to Andrew to provide detail on our Q2 2022 financials.
Andrew Taylor: Thank you, Tim, and thank you everyone for joining us today. We reported revenue for the second quarter 2022 of $185,000 compared to $100,000 for the same period last year, and $20,000 in the first quarter of 2022. Revenues for the second quarter were primarily derived from disposable sleeve sales, and were made up of a mix between reorders from existing sites and new customer orders. For the 3 months ended June 30, 2022, we reported a net loss attributable to common shareholders of approximately $5.1 million or $1.86 per basic and diluted share compared to a net loss attributable to common shareholders of $4.7 million, or $1.99 per basic and diluted share for the same period last year. Please note that this per share data is on a split adjusted basis resulting from our reverse stock split effective as of July 25, 2022. During the second quarter 2022, net cash used in operating activities and for the purchase of fixed assets was $4.6 million compared to $3.2 million for the same period of 2021. June 30, 2022. We reported $15.8 million in cash and cash equivalents, which includes our fully funded credit facility with Kreos Capital.. There are no financial or liquidity covenants associated with this facility. Our current cash balance allows us to continue executing on our near-term catalysts and is expected to meet our overall anticipated cash needs into the first quarter of 2023. And with that, I'll now turn the call back over to Tim.
Tim Moran: Thanks, Andrew, and thank you everyone for joining our call today. We are encouraged by our progress in the first full quarter since the commercial launch of the Pure-Vu EVS system and are working to drive utilization at existing sites, while also opening new accounts. We believe executing on both fronts will help to drive consistent long-term sequential revenue growth. After just a few months in the market, we have more hospitals using Pure-Vu EVS than our previous GEN2 system and we continue to work through our pipeline of opportunities. In addition, we remain focused on initiating our large multicenter clinical study in Q4, which we believe could play a key role in the eventual pursuit of reimbursement in the large outpatient market. I'll now ask the operator to open the call for your questions.
Operator: [Operator Instructions] We have a first question from the line of Steven Lichtman with Oppenheimer. Please go ahead.
Steven Lichtman: Thank you. Hi, guys.
Tim Moran: Hi, Steve.
Steven Lichtman: I was wondering if we could start with just a few metrics here in the early days of EVS launch. Can you update us a number of active evaluations you have and the number of target hospitals in the pipeline? And also, Tim, you gave us one example from the VA in terms of utilization, but I'm wondering if you could broaden that out and give any other commentary you can give us in terms of what utilization is starting to look like on a monthly basis for your initial customers here.
Tim Moran: Sure, Steve. Thanks for the question. I appreciate it. So let me start kind of at the macro level. So we are still managing a pipeline of call it about 100 accounts. And the way to think about that is each rep has typically a minimum of about 10 sites that they keep cultivated. We've talked about this before, but they go through a qualification process to ensure that they're a good target for ours, for our system, and then as they move into evaluation and ultimately a closed they're backfilling into that pipeline. So that's kind of the number that we're managing from at a macro level. As you heard me mentioned in the prepared remarks, we have 18 sites now that have the system in place, we have I would tell you, double-digit evaluations both started and will be started here in the third quarter. So each rep is working towards getting a couple of evaluations going. So I'm really pleased with their progress. And a lot of it speaks to the simplicity of the training now that's involved with our new device with EVS system. We've talked a lot about this in the past. And one of the reasons we invested in this iteration was to make it simpler for this staff to be able to load this device and get it ready for the position to utilize, thereby allowing our reps to move on and be at other sites. So open new accounts, and not spend weeks after week, training folks on getting the device utilized. So really pleased with how that's cultivated, a really nice pipeline to work from. You see in our first quarter it translated into a nice uptick in revenue. We're expecting that to continue, and hopefully accelerate even from where we were in Q2. In terms of utilization, Steve, that's the other part of this with the new device. We've made the navigation simpler. So we're now getting the product into the hands of more physicians, not just the advanced endoscopy this but the general GI physicians. In some cases, even fellows and residents have done procedures, which is allowing us to drive more utilization. So one expansion of the number of physicians and the types of physicians that can utilize it. And then two, because we updated our EVS system, with the removal of the reusable loading fixture that we talked about in the past, we're now able to use this device for rescue procedures that's enabling new procedures that we weren't getting in the past. So if you kind of harken back to the original analysis that we had done, when we first came out into the market with Gen 2, we said we were looking for somewhere between call it 15 to 20 procedures per quarter as an initial baseline. We're seeing that tick up, I gave an example of just one site that did double that in Q2, we have others that are also outpacing that number. So as we get another quarter or so under our belt, Steve, I'll give you harder metrics. I think we want to have, let's say two or three quarters under and see a real trend, but we're already outpacing our initial estimates that we had with GEN2.
Steven Lichtman: That's helpful. Thanks. Thanks, Tim. On the outpatient side, have you guys had any initial discussions with payers? And is that giving you competence in terms of the design of this study? That if positive that that would be adequate to do Garner reimbursement?
Tim Moran: Sure, so let me start on that and then I'll ask Mark to add some additional detail, but I want to just remind everyone that earlier this year we brought in additional talent in our clinical group, Vice President of Clinical Affairs, that came from one of the largest medical device companies over to Motus GI. she's working closely with Mark. And they've engaged a really high powered group of leading gastroenterologist from around the country to help with the design of the study, but also through their relationships with payers, including the government and CMS, we have had engagement. And that's been really important, as we put together this design. So Mark can speak a little bit in a little bit more detail, Steve about the design and why we chose that. But I'm really pleased with the work and the progress that our clinical team has done here to get us prepared to initiate this study. Mark, let me kick it over to you for a little bit more color.
Mark Pomeranz: Thanks, Tim. Yes, as Tim outlined, Steve, we've had an ongoing dialogue with CMS, we've had some formal meetings, and we keep them abreast of everything going on. And as Tim said, some of the folks that are advising us are the people that have written the guidelines for the GI society. So that's incredibly helpful. And, we've made sure we keep in the key tenants CMS and frankly other payers [indiscernible]. It's making sure, first and foremost, we are able to capture the size of the problem. Then next making sure with the spread of sites that we will use, and we make sure the data we collect is generalizable. And then we really can show a substantial clinical improvement as well. So we've kind of considered all those things in the study. That's a nice thing with making it a real world consecutive design as patients aren't successful with a standard of care, we can show the ability to convert that to a successful high quality exam with Pure-Vu, looking at not only avoiding that repeat procedure, but ideally getting secondary endpoints around detection rates and other things as well.
Steven Lichtman: Great. Thanks, Mark. And maybe Lastly, for me with -- coming up with a positive EU study. Is this data that can be used for a CE mark submission? And if it is, will you move forward with that? Or will that really be predicated on first establishing a partnership?
Tim Moran: Yes, Mark, why don't you take the first part, and then I'll add a bit after.
Mark Pomeranz: Yes, sure. So, Steve, we're actually already active in the engagement with the -- with our notified body and moving forward with the whole EU MDR [ph] process and that is going as well as we can expect. So that’s going well on that. We're already in the arena with moving forward to get a CE mark for EVS, as you probably know. The timelines on that with what's going on in the European Union are quite long. But we're in the queue in that process.
Tim Moran: Yes, Steven, I'll just add, as we set out in this year there were a couple of key priorities for the company. Obviously, commercialization being first and foremost, this outpatient opportunity and preparing ourselves for reimbursement. But the third being preparing ourselves for eventual entry into other OUS markets. And as you mentioned, CE mark is critical. We brought in a very talented quality leader that has been spearheading this MDR process, and it's quite complex, as I'm sure from speaking with other companies. The team has done a great job to position us to get through this process, and then be prepared to get the CE mark. So we'll update you when we have closer timelines. But as Mark said, that's -- it's headed down that path already.
Steven Lichtman: Great. Thank you, guys.
Tim Moran: Thanks, Steve.
Operator: Thank you. We have next question from the line of Ben Haynor with Alliance Global Partners. Please go ahead.
Benjamin Haynor: Good afternoon, gentlemen. Thanks for taking the questions and congrats on the progress. First, for me, you mentioned the 18 hospitals that you've gotten approved in -- by the end of Q2 that there's a nice mix there. And definitely appreciate the color that you gave on the VA situation. But I was wondering if you could provide any color on kind of the other mix of accounts, the [indiscernible] hospitals community hospitals rule [indiscernible] that you mentioned. Is there anything surprising then that you've run across there, either positively or negatively?
Tim Moran: Yes, thank you, Ben for the question. Listen, I think the fact that we're now branching out well beyond just academic medical centers, right, which is where we spent the majority of our time over the last 2 years which makes sense when you come with the new technology you want to get in front of the KOL, and get them up on the podium talking about your technology and supporting you. But now that we've got a larger sales team in more areas, and we've got a device that is simpler to use, it's allowing us to kind of spread our wings to these other locations. I would tell you that, as I mentioned in the prepared remarks, and you heard the VA, not well, it's not surprising, I think we're very encouraged by their feedback. And it's not just one site, it's multiple sites. And we also have several that are going to go into evaluation here in the third quarter. And what's unique about that is their patient population, oftentimes due to medical conditions, comorbidities or even injuries, right, have a difficult time prepping. So they're perfect for the Pure-Vu system. But they're also travelling from long distances, as I mentioned earlier, right. So it just puts so much more emphasis on ensuring that they get their procedure done the first time. And that's truly what Pure-Vu has been designed to do. But we've been able to kind of translate that learning into other rural facilities that still are, maybe large regional trauma centers, but they're in more remote locations, based on the VA learning to say, hey, how many patients are travelling to get here from an hour away or so? And what happens when that patient doesn't get their exam done on time? What's the implication to the patient? What's the implication to the cost of the facility? And that's really resonating. So, I would say, those are a couple of the learnings now that we branched out beyond just the academic medical centers.
Benjamin Haynor: Okay. That's helpful. Thanks for the color there. And then, just kind of on the -- in a situation where the VA is unable to get the colonoscopy done, and I think you said 28 days, they need to pay another hospital to do it. What's typical when they're paying another hospital to do it? I mean, does the hospital look at the VA and say, kind of government paying for it? Let's tattoo him on the bill? Or how does that work?
Tim Moran: Ben, I probably couldn't get into the specific nuances of exactly how that billing is coordinated. But what we've heard from our VA is that, hey, we're under pressure, because one, we have a backlog from what's occurred here with the pandemic, but two, if we can't see these patients, we're not going to withhold care for them. And there's a process in place whereby that veteran would be able to go to a local facility that isn't run by the government. And at that point, the government is reimbursing them in terms of cost and what they're charging, I don't have those specific details. But I know it's been a hot button, and been something that's motivated these physicians, when we've come to talk to them about the Pure-Vu solution, to say, hey, we've got something that will allow you to ensure that these are getting done on time. And that's been really positive.
Benjamin Haynor: Okay, fair enough. And then, you mentioned on the Pure-Vu EVS upper GI offerings, and you've done the preclinical work and KOL feedback has been good. Really how much more development needs to take place there to get that out in the first half of 2023?
Tim Moran: Yes, so I think we're pretty far along, Ben. There's two things. We have very high hopes for what this upper GI edition can do to the portfolio, right. We've talked about this several times in the past. It's a high risk procedure, the mortality rates are higher, and we've talked to a lot of physicians that are yearning for something in this space that will allow them visualization when they're dealing with blood and blood clots and stomach contents, right. So we want to get it right. That being said, I think from a development perspective, a lot of what went into the improvements of EVS are going to play very well in this space. We are going to do another animal lab, we have already scheduled for early part of this fall. And then I think in the timeline that we've given in terms of first half of '23, we also are always conservative in what the regulatory approval process could look like. We've been very fortunate, as you know, we've had our special 510-Ks approved in record time, twice now. But we don't want to build that into our timeline and miss the expectation, but just know that we're pushing to accelerate that launch as early in 2023 as possible.
Benjamin Haynor: Okay. That's helpful because my follow-up was going to be, why should investors believe you when the timeline when your most recent approvals have come so quickly?
Tim Moran: Yes, yes. I mean, we have to consider that they could take upwards of 90 days. But in all likelihood, if it's we follow a similar path we can shorten that timeline.
Benjamin Haynor: Okay, great. Well, that's all I had gentlemen. Congrats on the progress and thanks for taking the questions.
Tim Moran: Thank you, Ben.
Operator: Thank you. We have next question from the line of Boobalan Pachaiyappan with H.C. Wainwright. Please go ahead.
Boobalan Pachaiyappan: Hi. Thanks for taking my questions. [Technical difficulty] upon Ben's question with respect to EVS gastro. So you mentioned that the KOL feedback has been positive. Maybe you can expand a little bit on that. What is that they really liked about the EVS gastro is it the enhancements on -- can you provide additional color on that?
Tim Moran: Sure. There's a couple of things that we learned with our GEN2 approval in that space. One, suction and having a large suction port is very critical. Because in that procedure, Boobalan, at times you can be dealing with very large blood clots that are adherent, and can be very difficult to get out of the patient. So what oftentimes a physician will do is they're going to work through the working channel of their gastroscope to break that clot up into smaller pieces. They can use the instruments to go down the working channel, break that clot up into smaller pieces, and then suction those pieces out. So the feedback was, hey, the larger the suction channel you can provide the better. And what's also nice about our devices, they're getting the suction without interrupting that working channel, right. So they can be doing the work breaking up the clot, while simultaneously suctioning [ph]. So incorporating a larger suction channel was one bit of feedback that's important for that procedure. And then the other was, most often when you're passing the gastroscope, with the Pure-Vu sleeve, you're doing that on an intubated patient. So they have an intubation tube as well. So the material of the tip of our disposable sleeve in the second generation was more of a hard plastic material. And there was feedback to say, hey, could you change that material to be a bit more malleable, therefore reducing any risk of causing any irritation to the esophagus? So that's something that we've incorporated into the EVS version. So those are two big areas of things that have been incorporated into the system that we think are going to play very well in upper GI. And let me ask Mark, if he wants to add any other points I might have missed, in feedback that we got from our first animal study or anything else in that regard. Mark, I'll turn to you.
Mark Pomeranz: Okay, thanks. Thanks, Tim. I think you hit the key aspects. The other thing which we're looking at is also increasing the energy in our irrigation jets because the lining of the stomach is much stronger than the colon. So we can actually put more energy into the irrigation to help with breaking up the clots as Tim talked about, and just the overall flexibility, the entire system is dramatically improved, that helps navigate the upper esophageal valve, which can be difficult, especially in compromised patients.
Boobalan Pachaiyappan: Thanks for the detailed color. So, it looks like two macro headwinds. The macro headwinds has been pretty harsh during second quarter, but it looks like you had a really great quarter. But still, I would like ask this question. Just curious, whether the environment that you saw in the second quarter kind of triggered any new shift that you've never seen previously, maybe like are customers leaning more towards lease versus capital purchase? Or is there any other new trend that you saw that you can talk about?
Tim Moran: Yes, thank you for that. It's interesting. Listen, we are pleased with this first quarter of launch, like you said. We had a good quarter, but what this I truly believe is just the start for us. What I will say is, you brought up capital. Capital, as you've heard us talk about, you've heard other companies that have been reporting, the capital environment continues to be constrained. I think we've done a good job with offering variety to our customers to ensure that we get the device utilized at the end of the day driving conviction around the procedure. And the repeat business that comes from these disposables is really what it's all about when you kind of project the growth over the next 3 to 5 years for the company. But that being said, capital is part of the process. So, we are seeing folks look at our lease programs, our simple rental programs. As you know, we've always had a kind of a bundled agreement or a tiered pricing agreement where you can pay a little bit more for the sleeves, but get the capital at no charge. And I think that's helping us get these accounts up and running. But I'm also confident that we will start to see some capital come through here in the third quarter. But it'll continue to be a difficult environment, I think, for the remainder of this year.
Boobalan Pachaiyappan: All right. That's it from me. Thanks.
Tim Moran: Okay. Thanks, Boobalan.
Operator: Thank you. Ladies and gentlemen -- Thank you, sir. Ladies and gentlemen, we have reached the end of the question-and-answer session. And I'd like to hand the call back over to Tim Moran, CEO, for closing remarks. Over to you, sir.
Tim Moran: Great. Thank you. I just want to thank everyone for joining our call today. We're encouraged as I said. Getting this new product launched out in the market, having a larger sales team, as you can see, is driving results. And the company remains extremely focused on one execution. So executing on our commercial plan, driving utilization and opening new accounts. That is, as I said earlier, first and foremost, our single largest priority. You heard today we are making great progress in this upcoming catalyst of the large multicenter trial investment, which we believe has the potential to open up reimbursement in a very, very large outpatient market. And that's something that I think will be important to the company, to our investors and shareholder value in the future. And finally, we're adding key talent where necessary to take advantage and capitalize on all of these opportunities that we have as a company. So thanks for joining our call today. We'll look forward to updating everyone on our progress in our next earnings call for Q3.
Operator: Thank you very much, sir. Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.